Operator: Good morning and welcome to the AMERCO Third Quarter Fiscal 2021 Investor Call and Webcast. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Sebastien Reyes. Please, go ahead. 
Sebastien Reyes: Good morning and thank you for joining us today. Welcome to the AMERCO third quarter fiscal 2021 investor call. Before we begin, I'd like to remind everyone that certain of the statements during this call, including without limitation, statements regarding revenue, expenses, income and general growth of our business, may constitute forward-looking statements within the meaning of the Safe Harbor provisions of Section 27A of the Securities Act of 1933, as amended, and Section 21E of the Securities Exchange Act of 1934, as amended. Forward-looking statements are inherently subject to risks and uncertainties, some of which cannot be predicted or quantified. Certain factors could cause actual results to differ materially from those projected. For a discussion of the risks and uncertainties that may affect AMERCO's business and future operating results, please refer to Form 10-Q for the quarter ended December 31, 2020, which is on file with the U.S. Securities and Exchange Commission. At this time, I'll now turn the call over to Jason Berg, Chief Financial Officer of AMERCO. 
Jason Berg: Thanks, Sebastien. I'm speaking to you today from my office here in Phoenix, Arizona. Joe Shoen, our Chairman and CEO, is out traveling in the field, working in some of our locations and was unable to be on the call today. After a few minutes of prepared remarks, then we'll go ahead and open in up for questions and answers after that. Yesterday, we reported third quarter earnings of $9.33 a share, compared to $1.58 a share for the same period fiscal 2020. As usual throughout my presentations, all of my comparisons will be for the third quarter of this year compared to the third quarter of last year, unless otherwise noted. Over the course of the third quarter, we continued to see strong customer demand for our self-moving products and services. Our frontline teams have been answering the calls since the onset of the pandemic and all of the government's responses to it. The efforts of our field teams, our independent dealers, combined with the technology that was already in place, put us in a superior position to serve moving and storage customers. Equipment rentals saw an increase of 30% or about $187 million. For the nine months, we're now up 10%, or $219 million. That's a good result under even normal conditions. Compared to the same period last year, we increased the number of retail locations, independent dealers, box trucks and trailers in the rental fleet. Of note, our corporate account business, or what many refer to as last mile business, experienced an increase in revenue for the quarter. We've seen growth in U-Move revenue continue for the month of January. Capital expenditures on new rental trucks and trailers were $541 million for the first nine months. That's down from $1.161 billion for the same nine-month period last year. The combination of planned decreases along with COVID-19 delays are responsible for the decline. We're working to ramp up the manufacturing of new equipment as quickly as possible. Absent any additional unforeseen delays, it will likely take us a year-and-a-half years to two years to normalize our fleet rotation program. The investments that we've made in the fleet prior to this are what put us in a position to weather this supply disruption without negatively affecting our ability to serve customers. A rough estimate of fiscal year 2022 fleet CapEx would suggest that spending is going to be similar to that of fiscal 2020. Proceeds from the sales of retired rental equipment decreased by nearly $162 million to a total of $430 million for the first nine months of this year. Sales volume is still below last year's levels. However, sales prices have improved. The self-storage industry, as a whole, continues to do well and we continue to have success in filling rooms. Looking at our occupied unit count at the end of December, we had an increase of 66,900 occupied units compared to the same time last year. During our second quarter earnings call, I reported to you September-over-September growth of 53,800 rooms. So you can see the pace of filling rooms has continued to accelerate, and is doing so as we go into January as well. Revenues for self-storage were up $16 million or 15%. For the second quarter in a row now, our all-in blended occupancy rate experienced an increase. The third quarter rate went from 67% last year to 73% this year. We added -- we've added just over 29,000 new rooms during the first nine months of this year. Last year for the same nine-month period we had added 59,000 rooms. For the first nine months of this year, we've invested $365 million in real estate acquisitions as well as development of self-storage and U-Box warehouse space. That's down from $600 million, same time last year. Our goal is to increase the pace of investment. However, that's going to be dependent upon our ability to find opportunities that fit our economic model. We currently have approximately 6.6 million new rentable square feet in development. That's across 134 projects. We have an additional cohort of around 50 properties that are not yet in the active development phase, but that we own. As with equipment CapEx, growth in storage CapEx is going to take us some time to ramp back up. Retail product sales increased $20 million or 37% for the quarter with all three of our major product lines, reporting gains. These lines are moving supplies, hitches and towing accessories, and propane. And we are seeing these improvements continue into the month of January. Operating earnings in our moving and storage segment, increased $202 million, to a total of $264 million for the quarter. For our three largest operating expense categories, personnel, maintenance and repair in the fleet, and liability costs, we saw quarterly increases but they were well below the rate of revenue increase. The volume of rentals over the last two quarters, we will see another increase in repair and maintenance costs next quarter, but it should be well below the revenue trend. For personnel, the company has not recorded an expense this year yet for a contribution to the employee stock ownership plan. That will likely be recognized in our fourth quarter, whereas last year we spread that expense out over four quarters. We continue to improve our cash and liquidity position. At December 31st of this year cash and availability from existing loan facilities, at our moving and storage segment totaled $1.343 million. During our third quarter, we declared and paid a $2 per share special cash dividend. With that, I would like to hand the call back to our operator, Rash Naveed [ph], to begin the question-and-answer portion of the call. Thank you.
Question-and:
Operator: We will now being the question-and-answer session. [Operator Instructions] The first question comes from Steven Ralston with Zacks. Please go ahead.
Steven Ralston: Good morning.
Jason Berg: Good morning, Steve.
Steven Ralston: Congratulations, on I don't say this often, an amazing quarter. I am looking through the numbers. And historically in the third fiscal quarter, the company has reported usually between $3 and $4, except for one year where you had a real estate transaction. And I thought, I was very aggressive with my $7-plus estimate. And you came in with $9 and it shows the extreme leverage of the business. If you could talk about that, because you were quite conservative on the second quarter -- fiscal quarter call, saying that, it was going to be a challenge in repositioning the vehicles -- well the driver being the rental business. And obviously you accomplished that. You sort of gave a one-liner. Obviously there was strong consumer demand. And you congratulated your field teams. But could you talk about this leverage that you have, when pricing and volume come in? And you have this large infrastructure, and you're able to utilize it better? 
Jason Berg: Sure. It's a great, great question. Thank you, Steven. So I'll break it down into a couple of pieces. Then, I'll let you redirect, if I start to wander too much. So during this quarter, I would say that, of the revenue increase that you saw for equipment maybe 40% of that was coming from transaction growth. The remainder of that is coming from what we refer to as revenue per transaction, which is a combination of either more miles driven per transaction, the mix of trucks that are being rented or rate. And I think what we saw during this quarter was the majority of that was in the form of rate. So the – when you talk about from our last call shows concerns about the placement of equipment across the country. I don't think we're – we've solved that to any large degree at all. We're coping with it and we're dealing with it. But we still have – at any point in the year there's always equipment dislocations. And I would say, they're a little more pronounced through this cycle than what they've been in the past but our teams are attempting to adapt to it. But there's certainly parts of the country that if you go to say Nashville you're going to see a lot more equipment than you're used to seeing. And we're still working through that. One of the ways that we work through that is through the prices that we charge customers. So it's the natural supply and demand. And as the equipment becomes harder for us to put in certain places rates go up. And we saw the benefit of that during the quarter. So I'll let you redirect me, if I haven't answered the whole question.
Steven Ralston: No, that's fine. Thank you. Also, I noticed that the – it seems like a range in cost your cost structure has gone down. Revenues went up 30-some percent and costs went only up I think 4%. Was there anything done in that area?
Jason Berg: Well, our big three expenses as I mentioned personnel is our largest, and we probably picked up the most margin there. As I think for the quarter our personnel expense maybe only went up $5 million, $5.5 million on a pretty significant increase in revenue. And what we're seeing is the majority of that increase in personnel costs is coming from field performance compensation. So our field was hit fairly hard in the first quarter of this year. As transactions went down and revenue went down, there adjustable or performance-based compensation went down with it. So it was kind of tough on them. Well, they've now in the last two quarters made that up and vent some as a general comment. So we're seeing those bonus costs go up. But in total, we've been able to keep a lid on headcount. Our medical plan costs for the most part this year have remained relatively flat as I think the virus has kept people out of utilizing medical care that much. And then we have benefited for the first nine months of the year probably to the tune of about $11 million on the – I mentioned the ESOP expense that that last year that cost was spread out evenly $3 million or $4 million a quarter whereas this year, it hasn't hit yet and it will probably hit here in the fourth quarter. But that should still keep us in a margin positive area. On maintenance and repair, we've sold fewer trucks. So the two biggest components of our repair and maintenance structure are repairs that we do to prep the trucks for sale and then preventative maintenance on the fleet. So we've been doing preventative maintenance on the fleet as fast as we can. We're a little bit behind where we were last year due to the volume of transactions. So we'll see preventative maintenance costs rise again in the fourth quarter. But that's been offset by a decrease in repair and maintenance costs prepping trucks for sale. So those are the two largest categories. All the other smaller categories that kind of fall in that we see some increases in property tax for the year but revenues outpaced those costs. And otherwise, I don't recall any other expense category sticking out right now.
Steven Ralston: Thank you. Your ESOP expense is that going to be in line with last year or up a bit this year?
Jason Berg: It will probably be in line or we would then say $5 million.
Steven Ralston: All right. Again congratulations on amazing quarter.
Jason Berg: Thank you.
Operator: [Operator Instructions] The next question comes from Craig Inman with Artisan Partners. Please go ahead.
Craig Inman: Hey. Hey Jason, I was -- I thought that the biggest driver of repair is miles driven. So seeing that repair and maintenance number not up a lot is surprising. Can you talk about that?
Jason Berg: Sure, I’ll. But, I didn't answer the last question good enough. So, the preventative maintenance, which is driven by porches, I don't want to use the bad pun there as this created by miles driven is the preventative maintenance. That portion of our expense repair and maintenance is up. It's just being offset by the decrease where we're down, I think for the quarter, maybe say, 4000-plus units sold. And so the unit cost for prepping those for sale, the pickups and the cargo vans the ones that we've had issues with in the past. We haven't had as much of those costs running through for the quarter. So we're still seeing an increase in that -- in what you're talking about where we do have a little bit higher backlog than normal right now, but that's simply because we don't usually have this volume of transactions in November and December. So we will have some additional catch up in the first quarter of this year, but it's not anything that's out of control.
Craig Inman: Okay. I hadn't really formulated this question well, but I'll try it. I mean mobility in the US is probably on the rise now. So what's going through management's head with regard to this new found freedom of driving around or migration across the country? I mean are you all going to think about making the business bigger permanently or have we pulled forward demand and now we're at a right level of utilization on the fleet? Some thoughts around just kind of the evolution of migration how that's affecting your business.
Jason Berg: Yeah. That's an interesting question. And we certainly didn't foresee this coming, but what our -- the business model that we've been working now for decades is trying to be everywhere where the public is going to be. And I think what this has created is the opportunity for us to expand into more markets with company stores. So oftentimes there's been markets that haven't been big enough or vibrant enough that the economics worked for a company store so we'd have a network of independent dealers that cover those areas. And I think this has spurred us on to keep working the plan where there's new markets that we can get into. I've mentioned, over the years, how many markets with at least 50,000 people we're in, and there's a number of those markets that we're still not in yet. I think this has kind of pushed us along to continue down that path, find those markets, find economical ways for us to get in there and meet the demand. Early on, I mentioned that the dealer network -- early on in this process or in this pandemic, our dealer network was affected much more than us. As more of their businesses were shut down we stayed open. We redeemed critical essential workers, critical essential business. So we remained open throughout the entire thing. Many of our independent dealers weren't able to do that. Now we tried to help many of them stay open by letting them use the U-Haul business as a reason to be open. But over the second half of this year, they've come back in a very strong way and are keeping pace with the growth that we're having at company locations. And we've grown our dealer network. The dealer network has been relatively flat the last several years, and I think we're up a little over 1,000 dealers from December of last year. So we're making a conserved effort to get closer to the customers. So, I don't think this has changed dramatically our business model. I think in some ways its reaffirmed it and I think in other ways, its encouraged us to go a little bit harder at it. 
Craig Inman: Yes. How do you get reports on is this a one-time move or is it a more permanent condition in terms of the demand for your product? 
Jason Berg: Joe may have a different opinion on this. I guess I don't have a real good feel for that. I think I've always said our business is based upon just any life of that, that would happen. So there's a whole bunch of people that have moved out of the big cities and that's moved our equipment to certain places. And I think there's going to be a natural ebb and flow to how people do big cities and perhaps some move back and then we'll be positioned well to help them do that as well. Or if they stay where they're at, they'll likely be moving around for the other normal life events, marriages, deaths, going to college. I mean the whole process of going away to school has changed and we'll have to see how the dust settles on that. But I think it will return to somewhat normal way. And if not we'll just adjust to that. 
Craig Inman: And then the fleet obviously the migration has changed. Did you say, I missed the first part of the call how much of the revenue growth was volume versus transaction or just... 
Jason Berg: About 40% has been transaction growth this quarter. 
Craig Inman: Okay. And the 3-year cohort on -- I don't know if you're doing that on just annually or every quarter in terms of 80% occupancy or that stabilized number is there any -- has that improved? 
Jason Berg: So I ditched that whole 3-year deal after that went down in flames a couple of years ago. So -- but I have been doing -- I'll give you a few other ways to look at it and you can pick the one that you liked the best. But one of the questions that we got from Jamie Wilen, he hasn't been able to make it on the phone yet but I have some questions I'll answer for him was, I had given out a number of how many of our locations are over 80% occupancy. So at the end of December 65% of our locations or about 831 locations were over 80% occupancy. And that's an increase of 127 locations compared to December of last year. And the occupancy for locations over 80% now averages about 92% occupancy or up close to 2% from where those locations were last year. So that was one way of looking at it. I also had done the formula for all properties that were open or had an occupancy of 80% for at least two years. So that's kind of what some of our REIT competitors use as a stabilized occupancy number. And that group was -- their average occupancy was 93% and was up about 3 points. So kind of no matter how you look at it our average occupancy as stabilized property is probably up about 2 to 3 points. And otherwise we've seen a growth in a whole bunch of the other facilities are starting to fill up as we had hoped. 
Craig Inman: Okay. Yes. That's where I was getting at. I couldn't remember which one -- which iteration is that we're on, but some look at it it's helpful. And then the tax refund it looks like in the -- you still have about $380 million to go there?
Jason Berg: Yes. So we have about -- I think its $123 million that we've filed refund for and are waiting for it. And it's now passed the point where the -- now the U.S. Treasury is paying interest on those, but we haven't received them yet. Then in December we filed our fiscal year '20 tax returns. And then the refunds that are being filed carry-backs for that are going to total I think about $258 million. So that's all still in process but we -- and during the quarter and up through today we haven't actually received any of that cash yet.
Craig Inman: Okay. Great. that’s all for me.
Jason Berg: I would like to slide in now, Jamie Wilen could not be on the call today. But he has sent some questions ahead of time. And I promise we're not asking people to submit questions ahead of time like perhaps the White House is doing. But he did send some. So I wanted to hit those questions for everyone. So, Jamie's first question was occupancy rates at self-storage increased nicely for the second straight quarter. Given the pause in construction, because of COVID would it reasonable to expect occupancy rates to continue to rise versus a year ago levels? Now, I can answer just yes is the answer. Have rates changed at our self-storage facilities? Well, I would say that in looking at our average rates for customers are moving into the locations that -- so locations that were in the portfolio last year versus this year, so I have a comparison. Those rates are up about 1%. But once you blend in all of the new locations, our average rate per square foot looks relatively flat across the whole portfolio. His next question is, how many square feet of new facilities will we add this fiscal year? How many did we do last year? And what would our expectation be for next fiscal year? I typically quote 12-month figures, but so just understand that this is going to be a nine-month number. So for the first nine months of this year, we've done 2,866,000 new square feet. For all of fiscal 2020, we did 5,845,000 square feet. Right now our active project list has us projected to build out another 6.6 million square feet, but that's not all going to happen here in the next 12 months. So I would suspect that by the end of fiscal 2021, we're going to do maybe about 3.5 million square feet. And for fiscal year 2022, that's probably going to look closer to this year versus what we did in fiscal year 2020. His next question, truck rental volume was up nicely, while the truck fleet grew only marginally. This obviously drove fleet utilization higher. And as a result, we had a fantastic growth and profitability. Did we ever reach a point where we were close to capacity and trucks for rental were not available? With the pause in delivery of new vehicles can we expect fleet utilization to continue to be well above the levels of prior years? So I'll give you the answer that Joe has given in the past. There are always time periods like the end of the month, where supply is strained due to demand. You add into that now the significant movement of the one-way fleet, these high demand areas and it's just accentuating that. So I want to stress again the investments in the fleet that we've made previously really is how we've been able to handle this demand today. So that whole buildup, so -- to this the short answer to the question is yes. We should expect fleet utilization to continue going forward. His next question, when you talk about corporate business, are you specifically referring to supplementing the fleets of Amazon, FedEx and UPS during the holidays? I assume they will not want to own too many trucks that are only used during the holiday crunch. So should we expect that there will always be a call for us to fill in with rentals during that time when they are operating above capacity? So when we say corporate accounts, that -- those are the majority of what we're talking about, the last mile delivery business. We do have -- we have a whole team of account managers that work with smaller accounts than just that. So this business comes in throughout the year. We have a great working relationship with these organizations. I don't see any reason why that's not going to continue. As I mentioned in the prepared remarks, we saw this business increase during the quarter with more of our traditional last mile operators not so much with Amazon. Depreciation charges changed dramatically with the pause in self-storage construction and fleet additions. What would you expect depreciation to be in the next fiscal year? Okay. I think we listed it out in the 10-Q. Quarter fleet depreciation I think was down about $9.5 million and $17.5 million for the nine months. So you're not going to see that very often. A few quarters ago, I think, I told everyone that we're going to start trending up towards the end of this fiscal year. Well that's been pushed back. So I think probably now we're looking at the middle of next year. And a lot of that really has to do with the timing of the production of our 26-foot trucks, and we're now starting to produce those and those have a pretty big effect. All other non-fleet depreciation, I think, we listed was up about $5 million for the quarter and maybe $18 million, $19 million for the nine months. Looking at how that expense, which is largely related to our self-storage development looking at -- how that's layered on I would expect that to continue to increase, but at a lower rate now as we start to run into larger comparable quarters here starting in the fourth quarter. Can you begin to quantify U-Box revenues, their percentage increase from last year and its profit margins? Well, we're not at the point where we're required to report that. And we feel that reporting that puts us at a competitive disadvantage. So we're not in a hurry to do that because no one else is reporting their results. What I will say is that these revenues are embedded in the moving and storage other revenue line. So if you look at that line and you look at the change in it you should be able to at least get a sense of the direction of the program. And regarding the profit margins we do a cut of, kind of, a managerial P&L for them that allocates expenses as best as we can. And the -- that kind of pro forma EBITDA margin sits just below our overall moving and storage. So it's not quite at the same level as the overall moving and storage segments, but it's still quite positive and it's within a couple of points. There's a one quarter lag in the change in marketable securities value hitting the income statement. This is for our insurance companies. What will the figure be for the March quarter? So we have two things going on. Both of our insurance companies are affected by the expected credit loss standard or what they call CECL. So for the 12-months, I think, our Life Insurance segment is going to have a charge of around $900,000. So that I think in the fourth quarter though it will actually work out to be about a benefit of $800,000 to get them there. I think they were affected more negatively in the first half of the year. For our P&C company, it's a smaller adjustment. I think it was actually ended up for the quarter end up being positive as they reduced their allowances as the securities market, in particular the corporate bond market has improved that has the effect of improving our CECL allowance.
Steve Galbraith: And then, I think, we had one question come in from Steve Galbraith at Kindred and he asked about our cash build.
Jason Berg: So at the end of December, we were at just cash. So excluding the available debt, just cash we had $1.250 billion at moving and storage segments. At March that was $459 million. So a couple of things going on. First, we reduced CapEx -- our net CapEx so CapEx less asset sales was down $792 million for the nine months versus the previous year. And then cash flow -- operating cash flow as presented in the GAAP cash flow statement were up $405 million. We don't officially espouse EBITDA because it's a non-GAAP measurement. But I believe, if you were to look at our nine-month EBITDA it's at a record level right now of about $1.272 billion. That's a $300 million increase. And for the outlook on cash, we're going to remain cautious, as we try to ramp back up the CapEx programs and then also see what happens with COVID and see what direction government regulation tax policy takes.
Jason Berg: So I think that's all the questions. So if the operator doesn't mind I can just go ahead and wrap-up the call right now. We appreciate everyone's support. Our next earnings release is going to be for our annual -- our fourth quarter results our 10-K. And we'll be back we'll file those on May 26 then we'll have our next call on May 27. So thank you all for your participation and we'll talk to you then. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.